Operator: Good afternoon, and welcome to ZimVie's First Quarter and 2023 Earnings Conference Call. Currently, all participants are in listen-only mode. We will be facilitating a question-and-answer session toward the end of today's call. As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Marissa Bych, Gilmartin Group, for introductory disclosures.
Marissa Bych: Thank you for joining today's call. Earlier today, ZimVie released financial results for the quarter ended March 31, 2023. A copy of the press release is available on the company's website, zimvie.com, as well as on sec.gov. Before we begin, I'd like to remind you that management will make comments during this call that include forward-looking statements. Actual results may differ materially from those indicated by the forward-looking statements due to a variety of risks and uncertainties. Please refer to the company's most recent periodic report filed with the SEC and subsequent SEC filings for a detailed discussion of these risks and uncertainties.  In addition, the discussion on this call will include certain non-GAAP financial measures. Reconciliations of these measures to the most directly comparable GAAP financial measures are included within the earnings release and/or the investor deck with supplemental slides issued today found on the Investor Relations section of the company's website. This conference call contains time-sensitive information and is accurate only as of the live broadcast today, May 3, 2023. ZimVie disclaims any intention or obligation, except as required by law to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. And with that, I will turn the call over to Vafa Jamali, President and Chief Executive Officer of ZimVie.
Vafa Jamali: Thank you, Marissa. Good afternoon, and thank you all for joining us. I'd like to kick off our call by providing an update on the progress ZimVie is making towards our most vital objectives of innovation and commercial execution. Then I'll turn the call over to Rich Heppenstall, our Chief Financial Officer, to review our financial performance for the quarter ended March 31, 2023. Understanding the immense work we have done as a stand-alone company and the work we still have ahead of us, I'd also like to thank our employees. I said previously, with a large part of the organizational separation behind us, we'll spend the bulk of 2023 focused on commercial execution and innovation. This will ultimately position the business for growth into 2024 and beyond.  Our most critical imperative as we build long-term success is the health of our innovation platform. In the first quarter, we continued on the path of active -- to actively reshape the portfolio, ensuring that our growth finds into the future supported by differentiated products that drive better clinical outcomes and workflow benefits. In dental, we remain dedicated to an ongoing cadence of product launches. As a reminder, 2022 was the first time in 10 years we launched a new dental implant to the market. Since then, we've had six new and next-generation products. For example, this year, we launched our RealGUIDE computer-aided design and full-suite modules within our digital dentistry software platform. These offerings allow physicians to complete detailed and sophisticated implant and tooth restoration procedures with seamless workflow throughout the procedure. Our software platform is now the only offering in the market with implant planning and guide design within the same module as restorative care, including crown and denture design, allowing substantially greater efficiency for our customers.  More recently, we launched two new products in our Bone Graft Solutions portfolio, the RegenerOss CC Allograft Particulate and the RegenerOss Bone Graft Plug. The RegenerOss CC Allograft Particulate is a natural blend of cortical and cancellous bone particles that can be used to fill bony voids in a variety of dental applications. And the RegenerOss Bone Graft Plug is an easy-to-use grafting solution for filling extraction sockets and periodontal defects. Dental bone graft procedures are done to repair and reconstruct the jaw and can provide a foundation for dental implant placement, essentially increasing the size of the suitable implant patient population. These launches broaden ZimVie's presence in the dental biomaterials market and expand our comprehensive suite of bone graft offerings. Both of these launches are enhancing product selection for our customers and providing a value alternative to our premium Puros allograft particulate.  Speaking of our market-leading Puros allograft particulate, we were pleased to see this product featured in The International Journal of Oral & Maxillofacial Implants. The journal concluded that Puros has a higher ability to support bone formation than competitive freeze-dried allografts. This is important to procedure adoption as an implant is only as strong as the bone that supports it. We highlighted these recent portfolio launches and clinical support at the exciting opening of our state-of-the-art dental science, educational, and training institute at our Palm Beach Gardens dental institute last week. ZimVie Dental Institute South, as what we call it, features over 11,000 square feet of dedicated education and training space, offering the latest lifelike stimulated patient models, a cadaver lab, and a fully integrated digital workflow with 3D printing capabilities, RealGUIDE software, and a mill. The institute is equipped with everything needed to train dental professionals on all aspects of the procedure from practice and workflow management to the most complex full mouth reconstructions. We're really excited to host our current and prospective dental customers here and are also pleased to share that the sessions in our institute spaces are now booked all the way through October. In summary, our dental business remains well-positioned to grow and generate cash flow for our business as a whole.  We're also seeing incremental successes within our spine portfolio. We recently reviewed -- received two positive policy decisions for the Tether, our differentiated non-fusion spinal device for the treatment of idiopathic scoliosis. These decisions came from Highmark and BCBS North Dakota. Expanding coverage for vertebral body tethering to 4 million-plus members coming under Highmark and the 280,000 lives covered by Blue Cross Blue Shield North Dakota. Outside of the U.S., we're pleased to see Tether procedure growth in Europe and APAC.  Shifting to Mobi-C. We are building on decades of patient impact for the reconstruction of cervical disc at both one and two levels, having recently surpassed 200,000 discs implanted. Mobi-C also received French government reimbursement and the highest quality rating from the British clinical data panel, ODEP, within the first quarter. These developments are already aiding in greater penetration and adoption of Mobi-C in Europe, a historically underpenetrated, under-adopted region for cervical disc replacement.  Finally, we continue to make progress through our Brainlab partnership. As a reminder, in March, we announced a global development agreement with Brainlab for spinal-enabling technologies to provide our customers and patients with the deepest level of integration between ZimVie products and Brainlab's industry-leading portfolio of spine imaging, planning, navigation, and robotic-assisted solutions. We are now working to achieve compatibility between our spinal impact in Brainlab's spine and trauma navigation systems, allowing us to enhance workflow and accuracy in the operating room while reducing intraoperative X-rays and radiation exposure. Looking forward, we will continue to engage with our key surgeon customers, innovate on and around our existing solutions, and ultimately optimize our position in markets where we're positioned to win.  Turning to the operational improvement we are continuing to drive within the business, in recent weeks, we completed an enterprise wide project to restructure activities and right size our global organization with the overall objective to reduce our global cost bases and streamline our organizational structure across regions, functions, and levels. These actions are in accordance with the plan we laid out at the time of spin and are aimed, in particular, to increase efficiency and profitability of our spine portfolio in all markets. We executed these changes with the understanding of market conditions and business performance. As Rich will detail shortly, the expense reduction associated with these actions is included in our approach to 2023 financial guidance as issued in March.  Before turning the call over to Rich to outline our financial performance, I want to highlight, I am pleased with the progress we're making across our business and I look forward to sharing our progress in the coming quarters and years. With that, I'll turn the call over to Rich.
Richard J. Heppenstall: Thanks, Vafa and good afternoon, everyone. I'll begin by reviewing our first quarter 2023 results and will close by providing updated commentary on our outlook for the full year 2023. Total third-party net sales for the first quarter of 2023 were $225.1 million, a decrease of 4.1% on a reported basis and a decrease of 2.9% in constant currency. Please note, during the first quarter of 2023, we had one additional selling day versus the prior-year period, equating to an approximately 1.5% positive impact to consolidated growth. Shifting to our two segments. First-quarter global dental third-party net sales were $120.2 million, effectively flat on a reported basis and increased 1.8% in constant currency when compared to the prior-year period. We are pleased with the continued market acceptance of our new implant offerings. Performance in the U.S. has been strong. And although we just launched TSX in Europe during the first quarter, preliminary indication is the product is performing well. Additionally, we continue to see strength in our digital offerings, which are growing double-digits.  In the U.S., dental third-party net sales of $69.9 million increased by 2.3%, inclusive of one additional selling day versus 2022. Outside of the U.S., dental third-party net sales of $50.3 million decreased by 3.8% on a reported basis but increased 1.1% in constant currency. First quarter global spine third-party net sales were $104.9 million, an 8.1% decrease on a reported basis and a 7.8% decrease in constant currency when compared to the prior-year period. The decrease was driven by our decision to exit China following volume-based procurement, which is offset by sales that were previously recognized by Zimmer Biomet last year that are now ZimVie sales, and continued competition in the competitive spine market.  In the U.S., spine third-party net sales of $83 million decreased by 4.1%, inclusive of the one additional selling day. Outside of the U.S., spine third-party net sales of $21.9 million decreased by 20.4% on a reported basis and 19.3% in constant currency. The impact of our decision to exit China versus the prior year is estimated to be $2.4 million or 2.4 percentage points of consolidated spine growth and is offset by sales previously recognized by Zimmer Biomet that are now ZimVie sales, as just mentioned.  First-quarter adjusted gross profit was $156 million compared to $149.3 million in the prior-year period. Adjusted gross margin was 69.3%, an increase of 570 basis points when compared to 63.6% in Q1 of 2022. The increase in gross margin versus prior year is driven by a substantial reduction in inventory charges in the quarter resulting from our operational initiatives to better manage inventory. We continue to be encouraged with the progress we have made thus far on this front. And although net inventory is marginally lower versus the end of 2022, we have seen a decrease in gross inventory levels, meaning that we are starting to carve into previously reserved inventory layers, an encouraging sign.  Q1 2023 adjusted research and development expenses of $12 million or 5.3% as a percentage of third-party sales, a decrease of 60 basis points compared to the prior-year period. Q1 2023 adjusted selling, general, and administrative expenses of $125.1 million or 55.6% of third-party net sales was 610 basis points higher than the prior-year period. This increase was due to less net sales and timing of our corporate infrastructure as a new public company, which increased subsequent to Q1 2022. Recall that this time last year, ZimVie was a newly spun company and that we were still building our infrastructure as a newly independent company. As such, we expect SG&A to continue to be higher than prior year for Q2 and Q3 2023 as well. Adjusted EBITDA in the first quarter of 2023 of $32.1 million or 14.3% of third-party net sales reflects a decline of 10 basis points from 14.4% in the prior-year period. The decrease in adjusted EBITDA margin is primarily due to lower net sales and higher SG&A costs, as previously discussed, offset by higher gross margin as previously mentioned. Adjusted earnings per share in the first quarter was $0.25 on a fully diluted weighted average share count of 26.3 million shares.  Touching on working capital, liquidity, and debt in Q1, we continue to make progress on our initiatives to capitalize on the strength of assets on our balance sheet and the application of our disciplined financial framework. Our efforts have resulted in a reduction in net inventory of approximately $3 million since December 2022 and a year-over-year reduction in capital spending at $2.3 million. We ended the first quarter with $66.4 million of cash and equivalents and continue to look for opportunities to tighten our operational cash needs with the focus of paying down additional debt.  Consistent with our capital allocation priority of increasing financial flexibility and paying down debt to reduce our leverage profile over time, I'm pleased to announce that we continue to transfer value from debt holders to equity holders in the first quarter by prepaying $10.5 million of debt. This represents our Q1 and Q2 of 2024 required principal payments on our term loan debt. We are now five quarters ahead of our principal amortization schedule. As a reminder, our $175 million revolver remains undrawn.  I'll now turn to our revised full-year outlook for 2023. Starting with revenue, we are revising our expected 2023 net sales to be in the range of $835 million to $860 million, up from our previous guidance range of $825 million to $850 million. Please note, going forward, all revenue dollars will be third-party net sales. We will no longer receive any related-party sales. Our guidance reflects this. Looking at our segments, we expect dental to continue to grow in the flat to low single digits. We expect spine to decline in the teens inclusive of an approximately three percentage point impact to our spine business from our decision to exit the China market and a one percentage point unfavorable impact of foreign exchange.  Moving to adjusted EBITDA margin, we continue to expect full-year adjusted EBITDA margin to be in the range of 13.5% to 14.0% of net sales as previously guided. To provide some more color around our EBITDA margin guidance, we are pleased with our Q1 2023 financial performance, which reflects in part a benefit from initiatives we have undertaken, including a recent resizing of the workforce, as Vafa mentioned. This effort and our continued operational initiatives were contemplated in our original 2023 guidance. We want to emphasize that spin-offs and turnarounds are choppy as we are leaving our full-year guidance range intact. For Q2, we expect sequentially lower adjusted EBITDA in the low teens. Commensurate with the change in revenue expectations, we are revising our adjusted earnings per share guidance range to $0.40 per share and $0.60 per share on a fully diluted share count of 28.6 million shares, up from our previous guidance range of $0.30 to $0.50 per share. As a reminder, supplemental guidance is available in our investor presentation located on zimvie.com. With that, I'll turn the call back over to Vafa.
Vafa Jamali: Thank you, Rich. As we wind down the heavy operational lift and turn our focus toward commercial execution and growth, I'd like to highlight a few takeaways from our recent customer conversation with Dr. Sanju Jose, a periodontist, and owner at Columbia Center for Implants & Periodontics; and Dr. Paul Schaner, the CEO of Atlanta Oral & Facial Surgery. In March, we hosted Dr. Jose and Dr. Schaner for an open dialogue on their experience with ZimVie implant offerings and our digital dentistry platform, as well as our training programs and support team. Both physicians commented on their ability to employ our digital resources seamlessly and effectively across their practice to save substantial time for themselves and their staff while contributing to a higher-quality patient experience. Both doctors also noted that the Encode Emergence Abutment is saving their patients a full office trip to receive a traditional impression. Again, we believe that our innovation around workflow solutions offers a terrific opportunity to further expand the implant market. Their commentary speaks to our commitment to customers and patients by continuing to introduce solutions that optimize efficiency for providers, contribute to improved outcomes, and address unmet patient needs in both dental and spine markets. Please stay tuned as we plan to continue our investor education series with additional KOL conversations later this year. With that, we'll open it up to questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Robert Marcus with J.P. Morgan.
Robert Marcus: Yeah. Thanks for taking the question. Congrats on a good quarter.
Vafa Jamali: Thanks, Robbie.
Robert Marcus: Maybe to start on the guide, you guys beat the street by a good amount on revenues and EBITDA but didn't seem to quite raise the guidance on either by as much as the beat. So, I was wondering what's going on there, and your thoughts as to what it implies for the rest of the year?
Richard J. Heppenstall: Yeah. Thanks, Robbie. Yeah, good to talk to you again. So, we're really pleased with our performance in Q1. But we're still early on in the year. And so, we're still kind of maintaining a conservative -- yes, somewhat conservative and potentially prudent approach for the balance of the year. As we've talked about previously, there are often a number of exogenous factors that are beyond our control that impact our business sometimes. And so, we're just being really prudent as we move forward.
Robert Marcus: Got it. So, help me think about what that implies for cadence of sales, both dental and spine for the rest of the year because it seems to imply in dental that sales are going to step down a decent amount from first quarter and similar on spine to get to that low teens for the year, even backing out the exit. So, just sort of how I think about it and the cadence second, third, fourth quarter relative to first quarter?
Richard J. Heppenstall: Yeah. So, I think the way you should think about probably the balance of the year is -- I think if you look at Q1, I think we believe that we had a pretty strong Q1. And so, whether Q2 repeats itself, it kind of remains to be seen. And so, what I considered looking at the balance of the year is -- I think you can take the increase in the midpoint of our guide, and you just kind of apply that ratably towards the balance of the quarter. That should give you a reasonable depiction of revenue gains.
Robert Marcus: Got it. And with SG&A at the levels you're implying, definitely stepping up year-over-year, and we see where you started in first quarter, I imagine it probably progressively gets better as a percentage of sales. Is the offset there a better gross margin more in line with what you saw in first quarter to end up at the EBITDA levels you're guiding to?
Richard J. Heppenstall: Yeah. So, if you remember, this time last year, Robbie we were a newly spun company. We were ramping up corporate expenses. And so, what is the year-over-year parity on SG&A as a percentage of revenue probably in kind of the Q3 time frame because it took us a couple of quarters to ramp up last year. And so, the balance from the margin expansion that we guided to is largely coming out of gross margin, as evidenced also in Q1.
Robert Marcus: Great. And maybe just last for me, to put a finer point on the EPS. You had a $0.20 beat in the first quarter, and I realize the conservatism for the balance of the year. But how are you thinking about where those $0.10 may come out relative to The Street if we're thinking about EPS for the rest of the year? Thanks a lot.
Richard J. Heppenstall: Yeah. No problem. So, if you take our Q1 number, right, and you take the revised revenue guidance and you apply the 13.5% to 14% margin to that and you roll it through EPS here, we're still guiding to 26% tax rate. We're still guiding to similar share-based compensation expense, similar interest expense. It will flow through an adjusted EPS, also somewhere in the midpoint of that range. So, it should flow through top to bottom, Robbie.
Robert Marcus: Okay, great. Good quarter again. Thanks.
Richard J. Heppenstall: Alright. Thank you.
Operator: Please hold for our next question. Our next question comes from Matt Miksic from Barclays. Matt, your line is open.
Unidentified Analyst: Hey, this is David on for Matt. Can you just give him about five more seconds, please?
Matthew Miksic: Yes. Sorry, guys. I was just having trouble getting up here. So, great to see, Vafa, the sort of upside -- at least upside to our estimates on spine. And I'm wondering if that -- I guess the point that you want to be conservative at this stage of the year, there's a lot of cross-currents, I imagine, in the organization between the distributor changes that you have been making and the -- some of the cost-cutting efforts that you're describing. But what has been working there and sort of like I'm intrigued that this could be sort of like a stabilization point and maybe we start to see some sort of sequential stabilization improvement, but I don't want to jump to conclusions, I would love to get your sense of how that's going?
Vafa Jamali: Sure. Hi, Matt. So, really, last year was just a collection of really difficult situations for us to manage through, whether they be external factors or internal with some of the ERP changes and just the general disruption that we naturally caused with the separation here that's primarily impacted our spine business. I had always said that it would take us about two years to get through -- fully, fully through the turnaround that we needed or the -- get to the stabilization point. And I feel like we are getting better every quarter. And I feel like we pushed a lot of the operational moves into the end of last year so that we could start off much, much more fresh this year. This year, I think we're much more focused, commercially speaking. And I think that's a big relief for our sales reps. And for us, frankly, I'd far more rather talk about innovation than fixing or system changes. So, I do feel that we're there. I don't think we're completely there yet, Matt. So, I think we had enough events happen last year that we're being careful in terms of calling the bottom and turning it. But I do feel like we are in a much, much better cadence commercially. I think dental is doing really, really well with how they market, what they market, how they price, and how they grow that business. It's really fluid. And I think we're making really, really good news with spine. I think the Brainlab partnership is going to help us big time with big accounts. I think we're making good moves, commercially speaking, and we're focusing the team. I also see us getting much more involved with KOLs, which is an important part of spine and, frankly, something that we were unable to get to as we are really, really focused on operational issues. So, overall, I think we're making the corner. We're making the turn. I would -- again, our guidance implies that we're still cautious in terms of how we go. But I really truly look forward to giving positive news for the next three quarters. So, that's the way I see it right now.
Matthew Miksic: Okay, alright. So, we don't get ahead of you on that front, but that's encouraging to hear. And then on the dental side, I mean, in med devices, we've all gotten accustomed to some pretty high growth rates, I think, in the last few weeks. But that's dental in quite a different place. So, maybe if you could put the growth that you saw there in the context of what you think that market was doing in the first quarter and maybe frame your performance against some of your competitors to the extent that you're -- this means you are sort of taking share, you're driving mix, you're -- how you feel about that nominal figure of kind of a low single-digit growth rate, putting it -- contrasting it with what we see in devices, which, as I mentioned, has been kind of off the charts. But that device is not dental and all sorts of other prior issues that maybe weren't affecting dental?
Vafa Jamali: Sure. So, Q1 of last year was a really big, big quarter for dental. So, that was kind of a post-COVID sort of a splurge that happened. And I think it benefited all players. We were concerned about that going into this quarter, but actually, we did okay. Relative to peers, I think we met or beat on the implants. And again, our business is premium implants, and the businesses that we have around the premium implant are really supportive of that growth. We focused on -- we focus how we will be competitive really around the workflow and then providing really, really excellent dental implants. So, we made the innovations we needed to in the dental implants. And then we spent most of our time and energy around the digital workflow that surrounds that. And that's really why I emphasize less patient visits to the dentist chair while doing an implant really, really enables greater adoption and more growth. So, that's really how we've differentiated largely in our market, and we feel really, really good about it. So, I would say that we will perform at or better than market for premium dental implants. And I attribute a large part of that success to a commercial team that's really managed the digital platform around the dental implant. And then what we've also done is we've just filled a lot of gaps. So, there's no real reason to go shop outside of our portfolio when you're a ZimVie customer. Overall, I think that's kind of where we're at. I think -- yes, I think other than that, I think we also felt like it was a pretty resilient market. There were some concern whether or not the -- there would be some sort of recessionary impact, but it's been quite a resilient market around the premium implant anyways.
Matthew Miksic: Right. Yeah. I wasn't going to ask about that, but we don't know -- really know 100% what's in store for the next 6 to 12 months, although some folks have certainly been making a call there. So, we'll stay tuned and come back to you, I guess, maybe after next quarter on that front. But one last question if I could just on the sequential down progression on EBITDA. I think Robbie might have hit on some of this. But is there an opportunity to sort of -- I guess what turns the tide in that direction of EBITDA, so, you're down in the second quarter based on your projections, is it the cost-cutting restructuring program, is it momentum in the back half, maybe walk through, if you haven't already, and if you did, I apologize, it is to the sort of dynamic that gets you sort of moving in the right direction again, whether it's in the third quarter or the fourth quarter on EBITDA?
Richard J. Heppenstall: Yeah. Hey, good afternoon, Matt. It's Rich. Yeah. So, happy to kind of expound on that. So, like I mentioned to Robbie, we're pleased with our Q1 performance, obviously. And so, a lot of the gross margin uplift was based on lower inventory charges year-over-year. And that, of course, leads to gross margin. Now, of course, inventory charges are somewhat episodic, right, and kind of formulaic. So, they're not necessarily consistent. And so, what we really want to see on a go-forward basis is kind of long-term sustainable operationalization and inventory management. And so, we're cautiously optimistic that we're making good progress there, but we want to kind of see it sustainable. And so, that's kind of the first part.  The second part is that the restructuring that I mentioned had a very, very, very minor benefit in the quarter, but I think we'll start to kind of ramp up toward the back half of the year, which is where you start to see some of the margin sustainability. So, I think in the call, I think where we guided -- we gave a little bit of color around Q2 from an EBITDA margin perspective. And so, we probably expect that to be sequentially down. I think we said in the low teens, but then you kind of get it back in the back half of the year.
Matthew Miksic: Well, thank you for the color, and congrats on a nice quarter.
Vafa Jamali: Thanks, Matt.
Operator: Thank you for your questions. I would now like to turn it back to Vafa Jamali, CEO, for closing remarks.
Vafa Jamali: Thank you very much to all of you who attended the call. We look forward to further ones like this, and we appreciate your engagement, your questions. Again, we look forward to talking to you again in three months. Thanks.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.